Operator: Good afternoon, and welcome to today's Noodles & Company first quarter 2014 earnings conference call. (Operator Instructions) I would now like to introduce Noodles & Company's Chief Financial Officer, Dave Boennighausen.
David Boennighausen: Thank you, Sam. Good afternoon, everyone, and welcome to our first quarter 2014 earnings call. Here with me this afternoon are Kevin Reddy, Chairman and Chief Executive Officer; and Keith Kinsey, our President and Chief Operating Officer. Let me start by going over a few regulatory matters. I'd like to note that during our opening remarks and in response to your questions, we may make forward-looking statements regarding future events or the future financial performance of the company. Any such items, including targeted results for 2014 and details relating to our future performance, should be considered forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements are only projections, and actual events or results could differ materially from those projections due to a number of risks and uncertainties. I refer you to the documents the company files from time to time with the Securities and Exchange Commission, specifically the company's Annual Report on Form 10-K for its 2013 fiscal year. This document contains and identifies important factors that could cause actual results to differ materially from those contained in our projections or forward-looking statements. Now, I'd like to turn the call over to Kevin.
Kevin Reddy: Thanks, Dave, and good afternoon. As we discussed at our previous earnings call, the first quarter was one of unprecedented weather throughout much of the United States. Noodles & Company was particularly impacted by these weather patterns, as nearly 80% of our restaurants are in the Rocky Mountain West, Upper Midwest and Mid-Atlantic. Unfortunately, the wintry weather persisted beyond our last earnings call and into March, resulting in a 1.4% decline in comparative restaurant sales at company restaurants for the quarter and a 1.6% decline system-wide. This impact was approximately 400 basis points to topline revenue. Dave will discuss in greater length this on the call. But adjusting for weather, we believe the underlying trends remained positive during the first quarter, and we have seen a gradual return to more normal patterns, now that the weather is finally behind us. More importantly, we continue to make progress on many of our initiatives and we feel confident that we'll be able to build comp sales momentum through the balance of 2014. We were able to achieve a 10% increase in revenue to $89.5 million and a modest increase in adjusted net income during the first quarter. This is due to our focus on new unit expansion, our core business, solid P&L controls and our philosophy of thoughtful investment. Now, we are in the early stages of the second quarter, I'd like to report that comparable restaurant sales are gradually returning to prior levels. A couple weeks ago, we launched our Spring LTO, which includes an Asparagus di Parma, the return of our Backyard Barbecue Salad as well as a Margherita Flatbread. Our limited time offers have been a staple of our menu strategy over the past several years. Reinforcing to our guest are commitments of fresh ingredients, such as Asparagus, as well as our promise of preparing ingredients throughout the day. As an example, in the Backyard Barbeque Salad, our teams receive fresh ears of corn and actually shuck and sheath the corn in our restaurants. Our philosophy of showcasing real ingredients and real cooking continues to generate positive traffic and increased frequency year-in and year-out. One of our newest initiative is, catering, is one than I am particularly pleased with. During past few months, we have further refined our catering test and validated our operations and box economic expectations. We have just now rolled it out to one-third of Colorado as well as a few other select restaurants throughout the country. The initial response is very encouraging, not only from our guests, but also our operations teams. We believe there is a clear consumer demand for this occasion and our offering will be compelling in the marketplace. Due to the positive reaction of our operations teams and consumers, we now will be rolling out catering fairly quickly and expect it to be offered in a 100% of our company restaurants, no later than August of this year. As we introduce the offering within those markets, we believe the overall benefit to sales will be modest at first introduction, but steadily and continually growing. We anticipate catering to have a significant opportunity to contribute to AUV growth during the back half of the year and into 2015. We also continue to rollout our dinner daypart initiative, which is now in roughly 20% of our company restaurants, and is included in all new restaurant openings. As we accelerate the introduction of catering, while maintaining our focus on cooperations, throughout and more aggressive local relationship marketing, we expect a full rollout of our dinner daypart initiative to extend through and into 2015. As you know, our intent is to create a Category of One within the eating and drinking out space, by providing a world of flavors under one roof, at a compelling value, that meets the needs of consumer's busy lifestyles. Our menu innovation, constant focus on cooperations and the creation of a differentiated and elevated service model, all support this objective. Now, I want to take a moment, because I want to reinforce or remind everyone that we are not changing our previous guidance for the year or expectation for 25% annual earnings per share growth, despite a very difficult Q1. In the near-term, we expect to invest in our initiatives and more focused promotional activity, resulting in being incrementally stronger in Q2 and requiring a strong second half of 2014 to achieve our full year expectations. As we continue to build an enduring brand, Noodles & Company must accomplish two things simultaneously. The first is maintain positive momentum in our core business and recover when it's occasionally interrupted and continue our runway of sustainable growth to 2,500 restaurant nationwide. I am confident in both of those areas. Now, I'd like to turn it over to Keith, to discuss the strength and very positive trends of our new restaurant pipeline.
Keith Kinsey: Thanks, Kevin. During the first quarter of 2014, we opened 13 company restaurants as well as one franchise restaurant. We remain on track to meet or be at the high-end of our guidance for 42 to 50 company openings and 10 to 15 franchise openings for 2014. Our team has done a tremendous job building the pipeline for 2015, and we are even at better situation sitting here today for the coming year than we were at the same time last year. During the first quarter, we opened restaurants in three new markets, company-owned restaurants in Orlando and the Bay Area and a franchise restaurant in Lexington, Kentucky. We are now entering new markets with a full complement of initiatives that we have enacted over the past few years, including our new merchandising, highlighting Your World Kitchen positioning, our dinner daypart initiative and the evolution of our open kitchen design. These changes have allowed us to more affectively introduce the concept to new guest, who may not be as aware of the brand and we are excited about how it resonates. Our initial entries into Orlando and Bay Area are both performing well above the company average. And we look forward to building the brand with additional openings over the balance of the year in these large markets. We have discussed in the past that historically our non-comp based restaurants typically had AUVs at that 85% to 90% of company average. During the height of the winter, particularly considering a material percentage of the newer restaurants in the Mid-Atlantic, we saw this figure get towards the lower-end of that range. However, with the success of our recent openings in California and Florida, and the continued maturation of our most recent classes, our non-comp AUV trends have approached the higher-end of that range during the last half of the first quarter, and thus far into the second quarter. On the franchise side, our Lexington, Kentucky restaurant also opened up with a full roster of merchandising and design. We and our partner are very pleased with the results we are seeing there at that restaurant to date. The franchise community as a whole continues to operate at a high-level, despite the challenges mother nature threw at them during the first quarter. While comparable restaurant sales declined 3.3% at our franchise restaurants, it is important to note that 100% of our franchised restaurants that are in a comparable restaurant base are located in the heavily impacted Mid-West. During the next several months, our franchise community would be developing the brand in several markets, including our first restaurants in Boston and Philadelphia as well as new units in Long Island, Hartford and New Jersey area. We are excited to expand the presence of Noodles in the Northeast with our high-quality franchise partners. Finally, I'd like to give an update on the balance of our new restaurant opening calendar. As mentioned in earlier calls, the first quarter was backlogged with 13 company restaurants, opening an average of four operating weeks a piece. We anticipate the calendar to be much more balanced for the remaining three quarters of 2014. On the franchise side, we continue to anticipate 10 to 15 openings for the full year 2014. But given the area development agreement schedules of our newer groups, the majority of those openings will be likely during the last half of the year. The success of our openings thus far in 2014 is further evidenced as the brand continues to evolve in a way that better communicates our points of differentiation with our guests. Moreover, we remain incredibly disciplined in how we approach development, applying rigor to our site selection and taking a thorough approach to what we believe will be one of enduring brand over the next few decades. Now, I'd like to turn the call over to Dave, to discuss at more length our financial performance during the quarter.
David Boennighausen: Thanks, Keith. For the first quarter of 2014, we reported adjusted net income of $1.4 million or $0.05 earnings per share, consistent with the first quarter of 2013, despite the approximate $0.03 impact of weather. Revenue increased 10.1% to $89.5 million, due primarily to an increase in the number of restaurants in the system, offset by a modest decline in comparable restaurant sales. Our comparable restaurant sales declined 1.6% system-wide in the first quarter, with company-owned restaurants down 1.4% and franchise restaurants down 3.3%. Our company-owned comp of negative 1.4%, include the benefit of 2.2% associated with price, offset by the negative impact of weather during the quarter. During the past earnings call, we discussed assuming normal weather patterns during the last week of February and throughout March, total revenue in comparable restaurant sales would be negatively impacted by approximately 300 basis points to 350 basis points for the full quarter. Unfortunately, as everyone is aware, cold weather this winter persisted well into March and we believe that the overall impact was closer to 400 basis points for the quarter. Again, as Kevin mentioned, the lion's share of our restaurants are located in areas, particularly impacted by weather in Q1. 39% of our company-owned restaurants are located in the Upper Mid-West states of Illinois, Iowa, Wisconsin and Minnesota; 20% are located in Colorado and Utah; and 19% are located in the Mid-Atlantic. Looking forward, as we enter the second quarter, we are now running 1.75% of price from last year's increase, which we will overlap in October. We have not yet determined when our next price increase will be and at what level, but we would anticipate it would be somewhere in line with the timing and level of prior price increases. As a reminder, Q2 have one less operating day, due to the Easter holiday shift, which will negatively impact comparable restaurant sales by 80 basis points to 100 basis points. For this past Q1, the benefit of the shift was offset by the loss of a day from the New Year's shift for our fiscal calendar. Q3 and Q4 will have no shifts in operating day's year-over-year. Despite the weather challenges from the first quarter, we continue to anticipate full year comparable restaurant sales of 2.5% to 3%. This of course implies stronger comparable restaurant sales for the balance of the year, which we feel comfortable with, given the initiatives that will be rolled out in upcoming months. I will note, however, that as we look at the timing of catering taking hold, how the comparisons shape up during upcoming quarters as well as the holiday shift negatively impacting this current second quarter, we expect flat-to-low single-digit comparable restaurant sales in the second quarter, before increasing to low-to-mid single-digits during the back half of the year. In terms of earnings guidance for the full year, we are also maintaining our prior guidance of approximately 25% earnings per share growth for 2014. Again, though, we expect much of that growth to occur during the second half of the year. Now back to Q1. Our restaurant level margins declined 130 basis points to 17.3%, almost entirely the result of the concentration of our restaurants and the impact of weather. Overall, the team has done a solid job adjusting inside our restaurants. However, aside from the obviously leverage that occurs on fixed costs such as management wages and rent, there are few other key line items that were negatively impacted. Utilities, as an example, from percentage of sales basis, increased 60 basis points from Q1 of 2013 to Q1 of 2014. Other line items that were negatively impacted in Q1 include: cost of goods sold, as we had more waste during particularly slow days; common area maintenance, as snow removal cost increased; and cleaning supplies, as it takes more attention to remove the salt and snow that gets bought into our restaurants. Cost of goods sold of 27.0% was 50 basis points higher than Q1 of 2013, as a result of increased promotional activity as well as the aforementioned waste associated with particularly low volume days. We anticipate that cost will settle in near our historical trends during the balance of the year. Labor costs were flat at 30.8%, as fewer health insurance claims offset the deleverage from lower volumes. Operating cost were 13.8% for the first quarter, flat versus the prior year. Increased utility costs as a percentage of sales were offset by a decline in our marketing spend of 80 basis points to 0.6% of sales. We continue to build the brand, primarily through local relationship marketing and by using food as our currency, much of which ultimately hits the cost of goods sold line in the form of discounts. Consequently, we have only a modest amount of more traditional marketing spend. Given the negative impact a weather can have on the efficacy of media such as billboards and radio, we shifted much of our expected media spend from the first quarter into the latter part of this year. We still anticipate our full year marketing spend to be approximately 1% of sales. Occupancy cost increased from 10.4% of sales to 11.2%, due increased common area maintenance as well as deleverage. General and administrative expenses decreased 110 basis points to 7.8% of sales due to leverage on our overall revenue increase as well as the elimination upon IPO of management fees paid to our equity sponsors. We now anticipate G&A as a percentage of sales for the full year to be approximately 8.0% of sales. With the opening of 13 company locations compared with nine during the prior year, pre-opening expense increased $200,000 to $1.1 million during Q1. As of the end of Q1, the company had $6.6 million in debt outstanding on our credit facility and our effective tax rate was 41.5% in the first quarter. This tax was higher than typical due to the treatment of our transition from 34% to a 35% federal tax payer. We anticipate our full year 2014 tax rate to be approximately 41%. Now, I'll turn it over to Kevin, for some closing remarks.
Kevin Reddy: Just quickly, I want to share some perspective on the current environment and what we believe to be important. The Noodles & Company has delivered top-tier results for high-growth concepts consistently over time. That track record was interrupted in Q1, primarily by unique circumstance of weather. Our brand strength continue to resonate with our guests and our brand positioning for the future remains the right platform for continued growth. As such, we will remain diligently focused on restaurant operations and our teams, as well as earning the loyalty of our guests, while thoughtfully expanding the brand to capture the white space ahead of us. As we deliver on these expectations and generate our long-term earning growth of 25% annually, we believe Noodles & Company remains one of the most compelling, high-growth restaurant brands in both the consumer and investor landscape. I want to personally thank you for your time. And let's open up the lines for Q&A.
Operator: (Operator Instructions) Our first question comes from Jeffrey Bernstein of Barclays.
Jeffrey Bernstein - Barclays: Couple of questions. Just one from, obviously, the weather got a whole a lot of attention from yourself and your peers, and I think you mentioned on a couple of occasions, you've seen a gradual return. I'm just wondering why do you think maybe you wouldn't see an immediate bounce back or some of your peers spoke about, once the weather subside, you'll actually outsized sales growth, just because of the demands of the product, once the weather gets better. So I'm just wondering, one, do you see a bounce back in days immediately following weather? And two, why do you think you didn't get a bounce? It seems like you're setting yourself up for a tougher rest of the year for your go on target to hit that 2.5% to 3% and might be setting yourself up for too much of a stretch in the back half?
Kevin Reddy: A couple of things, Jeff. We have seen even through the first quarter, where you might have some restaurants call us for a particular day or parts of a day, and then the next day could be very strong. Sometimes there is you get a pent-up demand effect, but a lot of those pieces are just moving on to different patterns. So you come back to more of a longer-term normalized rate rather than outsized rate. So it's not really consistent enough I think for us to bank on that and to project that that you're going to get outsized returns. I think the other thing that we're looking at, as it relates to Q2, as even though we're steadily building it in the business and seeing our expense returning, we really are up against our toughest comp. It's 4.7% with Easter shift. You're approaching 6% on a two-year growth basis when you're flat. So we think when you look at that year-over-year and the fact that even that we're accelerating some of our initiatives like catering, that building upon that return, it's actually and probably more conservative to not believe that's going to happen immediately.
David Boennighausen: As Kevin mentioned, this is the most difficult comparisons we actually have for the year is during this most recent quarter, four weeks and a little bit into [ph] P5 as well and with the Easter holiday as well, it's just a little bit difficult to go through the entire noise. We're certainly seeing a bounce back, but to what level, I think still a little bit to be determined.
Jeffrey Bernstein - Barclays: And then just typically the, I know you mentioned the Spring limited time offer. Just broadly speaking, if you just think about those LTOs, just wondering how you balance the benefit presumably from the new product news, which presumably drives traffic versus what would seem like it would be more of a throughput issue, each time we have to kind of rollout some of these things and redo the training and the consumer comes in next time and something they liked last quarter isn't there. So how do you balance the benefits of the LTOs with what presumably would be maybe some bottlenecks or throughput or somewhat disappointed when things removed?
Keith Kinsey: Jeff, this Keith, that's a great question. Part of it though, and I think the way we do our limited time offers is it's really not a lot of added items or SKUs to that particular dish. If I think about the asparagus, this is basically adding just the asparagus into our SKUs. And we've done that dish before we've done a little bit of a modification to it. But operationally it fits right into the same mold of how we execute that dish. So other than adding an asparagus to it, all the other elements going through sauté, adding the sauce and then getting it out to the gas, actually is very similar. So it's an easier train. It works very well from a standpoint of the freshness and reinforces our focus on getting fresh ingredients into the restaurant. And operationally we can train it pretty effectively and the team can embrace it pretty easily.
Kevin Reddy: One of the other things we do, Jeff, is that, when we know limited time offer is going to expire, we will provide the talking points and perspective to our operating teams to help them recommend a dish that will have some similar ingredient, similar favors. So if someone comes in, and say, Scott, I just love that, Adult Mac & Cheese, Truffle Mac & Cheese or something, we'll try to help. We'll anticipate that and we'll encourage and move into a different dish. We're very successful with that. When it's done with a strong personal recommendation, it has very little downside, at least that's our experience.
Operator: Our next question comes from Joe Buckley of Bank of America.
Joe Buckley - Bank of America: Could you fill in a little bit more, your excitement about catering? Yes, I know, you said, one-third of the store is in Colorado and a few other stores. But how many stores is it currently in? And maybe if you could talk about the experience from average check standpoint or sales flow standpoint, just to give us some perspective.
David Boennighausen: Sure, think Joe. It's in about 15 to 20 restaurants currently. And then on the average order side, it's roughly about $300 is what we're seeing is somewhat the median order. It's still pretty early on, but we're pretty excited with what we're seeing from the percentage of sales, it's in the 1% to 4% in our test restaurants.
Keith Kinsey: And the exciting piece too, Joe, as you look at that is, part of it is the operational ease in which we've been able to integrate into the way we do our business, and actually utilizes our equipment at a time in the restaurant when we're not using it for further real retail starts.
Joe Buckley - Bank of America: And then just two other catering-related questions. Are you delivering? And some of the other companies that have gotten into catering have just guided as being very profitable, much more so than in-store sales, would that be the case for you as well?
David Boennighausen: I'll talk through the margin side and then let Keith and Kevin talk about delivery. From the margin perspective, we certainly think that catering is accretive. It's a little bit different than probably how the dynamics function for other concepts. Since we are doing true chafing dishes, there is a little bit more smallwares and supplies that are part of our package. So from a margin perspective COGS are solid, laborers incur is very positive as well, but you do have a little bit more supplies in as well. So it will be accretive, but maybe not to the level that you see, like some of the other concepts that maybe your sandwiches or something along those lines.
Keith Kinsey: We do deliver -- we have a upcharge of $25 on that typically, but it's really at the discretion of the individual or as a company asking for it, we will in a lot of cases have them come and pick it up. But if they need it or want it, we will deliver the food.
Operator: Our next question comes from David Palmer of RBC.
Eric Gonzalez - RBC: This is Eric Gonzalez, in for David Palmer. Maybe talk about some of the other factors other than weather that impacted sales. I think in your prepared comments you mentioned a shift in media spend, but we were wondering if some of the 4Q sales drivers like Thai Hot Pot perhaps needed as growth driver in 1Q? And then, separately, food inflation seems to be a popular topic as of late, can you discuss some of the moving parts within your food basket, as it relates to inflation? And maybe how has your outlook changed in recent weeks?
David Boennighausen: I'll talk on some of the other trends we saw in Q1, and then Keith if you can touch on some of the inflationary pieces. A couple things that I would point out, the first one would be that from a price perspective, we actually went from about 2.5% price in Q4 and then just kind of gradually fell off it as we rolled over the phase in of Your World Kitchen merchandising, so lost about 30 basis points worth of benefit when it came to price. In terms of the marketing spend, last year it was about 1.4% of our sales, this quarter it was about 0.6%. We had tested some media and different types of media platforms in Kansas City, Colorado as well as Austin, Texas last year, I was very pleased with the learnings we got there, thought that it probably impacted overall Q1 comps by about 50 basis points. At the same time, as we talked about in the prepared remarks, there was definitely concern about when you're going into, since most of our markets are cold-weather markets, you can certainly lose some of the effectiveness of that media spend, when you do it during the winter months. And so we purposely shifted some of those dollar figures to where they'd be -- some of that dollars spent to where it would be later on this year versus Q1. So those are the two big takes I would say aside from weather.
Keith Kinsey: As far as looking at some of the commodity issues, I think we're looking at some of the pressures. And Dave has kind of worked them into the numbers already. There's a little bit of the inflation on the pork side and then on the shrimp that we've always talked about in the past. I think what we're looking at right now, we're about 80% locked up and we're really looking at 2015 as far as getting those contract. We're fine with beef through the end of the year. And so actually we're looking at, trying to get '15 perspective across together right now.
Kevin Reddy: One other just last comment and thought on marketing and weather. I haven't heard yet enough numbers for the restaurants that have a similar distribution we are. But I know some of those markets were very, very difficult. When you lose half-a-day or potentially a-day-a-week, those are tough numbers to recover from. But one other thing to remember and note on marketing, is our size versus what a lot of entities were typically compared with, but we may spend north of $10 million or more a quarter in marketing and advertising. We are still at a size where we don't have economies of scale. And it isn't really a thoughtful investment to try to buy transactions and throw a lot of money at that. We've really built the business organically through our restaurants, trying to build royalty increase frequently and then through LRM out in the trading areas, sprinkled in with the right, more market-wide promotions and aggressive kind of targeted promotional activity in social media. So one thing is we're not influencing trends on the short-term way through significant marketing dollars, and at the same time, we are seeing the flip side of that where you might have a better impact to margins because of significant increase in spend or having to repeat something on that cycle every year. We really are building the business, day in and day out, through core operations and building a solid guest base, which we think has been and proven to be very successful over time.
Operator: Our next question comes from the David Tarantino of Robert W. Baird.
David Tarantino - Robert W. Baird: Just a couple of questions. The first one is really on the guidance for the year. And I know you mentioned that you're expecting or at least needing better trends in the back half to deliver the guidance. And I'm just kind of wondering how to frame that up. Is it sort of run rating the trend line you think you're going to be on in Q2 and then adding on catering? Or is there something else to consider in terms of sales drivers in the back half that maybe you haven't talked about?
David Boennighausen: Sure. I'd say the first thing I would look at is the comparisons, David, especially as we look at Q3, which was our softest comparison of the full year. So that's one component of why we would anticipate, at our normal run rate for Q2 that will be a benefit as we go against the little bit softer reads later on into the year. And then catering is certainly a significant component that, Kevin, maybe you could mention a couple of the other initiatives that might be driving some of that comp growth.
Kevin Reddy: Yes, I think that first, even within catering there is a range that we're seeing in the rollout that we think we'll build. We have some confidence. Some markets will be at a higher end than what we need to influence, the run rate being accretive to it. The other thing is, we just mentioned we didn't spend much in Q1 in marketing at all. We do have some tweaks and focus to our core fundamental marketing with our tastings and our hero launches and we have a couple of programs that are little more, I think aggressive going forward in introducing the brand, and getting not just brand messaging out, but targeting some key generators within the neighborhood and further getting the messages about a variety, healthy to indulge to the guest. So we believe from our experience in testing, some of those things in similar programs that will get some incremental lift from increased promotional activity. And then we're still kind of slowly and methodically continuing to introduce P.L.U.S. in those restaurants and dinner dayparts. That's not going to affect the entire system, but it will affect mathematically the markets that we put it in, and in the restaurants that we have opened with that as well as especially-converted, we're seeing at the low end, low single-digit delta from trend lines and from market on the small side. So I think all those singles, doubles, potentially a triple in there, collectively added up, create a clear path, what we believe we can see us reaching those levels.
Keith Kinsey: I think when you talk about two of our core mechanisms or way we build the loyalty that Kevin and Dave talked about, and the tastings and the hero launches, if you think about the weather, that has one of the bigger influences because not only does it affect the existing guest coming into our restaurant during those days and the exposures, but a lot of those promotional activity that we had setup, having those guest come in, developing and continuing to kind of reinforce those relationships that we want to build with us two methods, really influences also and influenced our ability to do that in the first quarter. And I do think coming back to the weather, as Kevin talked about, we'll be able to do that much more methodically and to be able to predictably plan it, as the guests comes into our restaurant, because we won't have the weather issues.
David Tarantino - Robert W. Baird: And then, Keith, I think you mentioned that you're seeing good trends through the markets you entered, the Bay Area and Orlando. Could you just maybe comment generally on how strong the openings there have been? And whether that kind of increases your confidence in how the brands is going to work, as you move into some of those new areas for brand recognition as well?
Keith Kinsey: Yes, I think as we talked about, definitely above our company average. I think the acceptance and the guests as far as talking about coming back to the brand, we just open up another restaurant in the Bay Area in San Ramon today. We'll see how that one is doing, but it does give us a lot more confidence as to accelerating some of the growth there, particularly the fact that it's in warmer weather. We're looking it for to offset, what we just saw this year as far as the weather patterns in the northern part of the country. But we definitely have lots of confidence in opening in those markets, continuing to open up those markets and look for opportunities. And we're very pleased, as we said earlier, with the volumes that we're seeing there.
Kevin Reddy: What we're seeing really takes hold, David, is all of that the work that have been done in the past couple of years in terms of the dinner daypart initiative, Your World Kitchen and tat messaging, it's really resonating with guests. So as we're entering into markets, we're really coming in with full arsenal of what the vision of the brand is to be, at the same time that's helping also our new restaurants in existing market. So as Keith mentioned, we've gone from kind of the lower side of that range of 85% to 90% of company average and we're now moving towards the higher end. It's certainly not just the restaurants that are in California or in Florida, we're also seeing that in our established markets as well that we're getting a little bit of momentum as that catches hold.
Operator: Our next question comes from John Glass of Morgan Stanley.
John Glass - Morgan Stanley: So just a few follow-ups. One is, are sales positive now, and you talked about a gradual ramp, but are we seeing that now or are they still trending negative from the first quarter?
Kevin Reddy: They are positive.
John Glass - Morgan Stanley: And I know you try to quantify, you quantified the weather impact. Do you actually have any or enough pure examples of where weather did not have an influence in the first quarter and can you maybe cite what those sales were?
Keith Kinsey: Absolutely, the one thing's that's a little bit tricky is when we look at the 20% of our restaurants, John, that aren't in those areas. They tend to be in smaller markets where we don't have as much presence since where they were already outperforming the company, such places like San Diego, Sacramento, Rowley, Cincinnati, those types of markets. And what we're seeing is they're continuing to have the very positive trends, but one caveat being is just that it's not a large sample size. So it is kind of a collection of smaller markets, but their trends maintains very consistent from Q4 to Q1.
John Glass - Morgan Stanley: I know and just maybe you said this, but how much are you depending on catering to drive sales in the back half. Did you put a number on or how successful it needs to be in stores that it in, in order to achieve the back half?
Kevin Reddy: I think what we've mentioned, John, earlier in the call was that we're seeing a range right now of 1% to 4% left in the best restaurants we have. We've got a couple nice outliers on the high end of that where some managers have really embraced it. So we're modeling at the lower half of that. So in or about that $300 not being too aggressive in how many we do a week. So I don't think we're -- I think we're being realistic c in that it will start. Our teams will embrace it to get to the right influencers, the right folks that are making those decisions. And in an icing, it just includes a lot of suburban restaurants, for the most part in the mix, it's either not in the heavy downtown with heavy business where it's like obvious because there is a lot of low hanging fruit. So it's more in that lower, 1% and 1.5% range. I think is what we're probably needed to get from it.
Keith Kinsey: And it's a phasing. So it's not like, it's one date, it all starts happening, we've definitely phased it in.
John Glass - Morgan Stanley: Just to understand, the 1% and 1.5%, is the aggregate impact to your overall comps or just the restaurants that have catering?
Kevin Reddy: Aggregate.
John Glass - Morgan Stanley: And then just finally, your G&A is now at the low end of your range originally for the full year, so what's the difference there? Is it just bonus accrual in terms moving early on?
Kevin Reddy: Part of its bonus accrual, a part of it just adjusting to as the weather head in terms of just as we expect the restaurants to be able to adjust their spend, we expect that our corporate level folks would be able to do the same. And then a little bit on the marketing side, most of marketing spend ends up going through the restaurant expenses, but there is some designs, some creative, that ends up hitting on the G&A lines, so that was a little bit of give as well. There were all kind of similar type of magnitudes.
Operator: Our next question comes from Nicole Miller Regan of Piper Jaffray.
Joshua Long - Piper Jaffray: This is Josh on for Nicole. I wanted to see if we might circle back to the catering and the dinner daypart initiatives. Those sounds very interesting, but as you move into some of these newer markets or maybe in areas where your guest may not be accustomed to those particular dayparts from using the Noodles concept. I was curious what from the operational side of things you're doing both in-store or even from a marketing perspective to kind of ease that transition and get them into adopting that new daypart?
Keith Kinsey: Josh, this is Keith. That's a great question. What's so good or exciting about it, is the fact that we're teaching them from square one with the merchandising, with having that all as a part of the first day when they walk into our restaurant. We're teaching it not only to the guests, but to our teams. So our teams know that's just the way we do it at Noodles & Company. We go to the pre-board and we talk about the menu. We take them to up the register and we talk about the different ingredients or the customization. We talk about the P.L.U.S, we talk about the beer, we talk about the wines, we talk about the desserts. So they are learning it from square one and they don't Noodles other than that. So when they talk about the brand, they talk about all the different things we have to offer. They're talking about those elements from day one. And I think that's very powerful and all the kind of marketing, merchandising, design, all those elements reinforce it. So it helps from square one to really define the brand the right way.
Kevin Reddy: I almost think it's easier, when you have existing team members and existing consumers that are used to interacting and behaving with you in a certain way, they first react to, okay, it's different. There's another option. They mentally process it. They think, well, I like engaging the brand for this occasion. And I don't know that I want to switch. You just have a few more moving parts. When you just open up, and it's a very natural conversation at the register, somebody orders, and you ask, if they want a glass of beer or wine, and you say, once you get seated you don't have to get back in line, that gentleman or woman outside in the dining would be happy to get your second glass or bring you dessert if you want to participate in. It's more about a nice discovery than it is about or something is different, do I like or do I want to opt into that difference.
Operator: Our next question comes from Andy Barish of Jefferies.
Andy Barish - Jefferies: A question related to first quarter development. Actually, the number of openings it was higher than we have modeled. Was that just some unit's kind of slipping in late to your point on operating weeks on average for those opens?
Keith Kinsey: I think couple of things, Andy. We had a nice momentum coming out of Q4 and then as far as some of those opportunities to open them up earlier and get those into Q1 and then balance out the rest of the year, we saw that as advantage and we took it.
Andy Barish - Jefferies: So I just want to be clear that the next three quarters should be relatively similar number of openings kind of prorated?
Keith Kinsey: I think that's accurate and then in terms of the operating weeks consistent, as well, except for when we look at the overall cadence of the openings, you did have one or two that were probably originally in the Q2, expectations that ended up in Q1, so that's a little bit of an impact.
Andy Barish - Jefferies: And then on your overall commodity basket, are you still in that in sort of 1% and 1.5% range or I assume produces part of your 20% that's not contracted, does that present a little bit of scariness out there?
Keith Kinsey: No. I mean, I think right now we're comfortable with that 1% and 1.5%. I think what we've done with the LTOs and some of the other food items, will shift depending on what goes up in the produce arena, but so far so good, particularly on the asparagus. We got some pretty good pricing on that. So I think we're still comfortable with that 1% to 1.5%.
Operator: Our next question comes from Nick Setyan of Wedbush Securities.
Nick Setyan - Wedbush Securities: I just want to follow-up on cost of sales again. You've given us a lot of numbers and you kind of talked through it on a couple of peers questions, but I just want to kind of go back to your comment around, going back to kind of normalized trends like we've seen in the past. And so does that kind of mean, in the low 26% range, that kind of means directionally, sort of mid-26% range. Can you maybe just clarify that?
David Boennighausen: Generally, mid-26% range, Nick, and what we see just from a menu mix perspective seasonality-wise, Q3 generally is our lowest cost of good sold. But it's kind of in the low 26%. And as you get into Q4 and people shift a little bit more towards soups from salads, it might be in the high 26%, but it's still within the pretty tight range.
Nick Setyan - Wedbush Securities: And on the labor side, particularly on the second half. I know you're not as impacted by the California law, but I know Minnesota there's some things going on. Can you maybe just kind of talk about, if any impact there is? And also kind of next year kind of what you think about healthcare?
David Boennighausen: So we're certainly looking at both of those items very, very closely. From the minimum wage perspective, we just have a small percentage of our team members that are currently at minimum wage. What we're looking at right now is how the individual states end up doing their legislation. California is a pretty minimum impact for us. We've less than 10 restaurants there, around 10. It seems like Minnesota, those are a little bit more meaningful for us. As we continue to monitor that will certainly be given a little bit more updates on how that would impact us. We see some compression as minimum wage increases on some of our competitors that are on the lower end of the wage scale, have to go up, but it's generally nothing too meaningful, but certainly some of the states are looking at relatively high jumps. On the Affordable Care Act, we talked a little bit about in the past. We expected it to be roughly 30 basis points to 50 basis point impact to labor, starting in the middle of 2015, we actually have a plan here that goes from the middle of the year through the middle of the year. So it won't impact us right out of the gates starting at 2015. Ultimately, as we go through our team members, typical restaurant having 20 to 25, and then you start weaning away that folks that done already work 30 hours a week just to the natural course of advance. Folks that are under 26, you end up with the much more modest amount of people that are impacted by the legislation, by the mandate. So it's certainly probably in that 30 basis points to 50 basis points range. And I'd say minimum wage is still a TBD.
Operator: Thank you. And at this time, I'm not showing any further questions. I'd like to turn the call back to management for any closing remarks.
Kevin Reddy: I don't think we have any, Sam. We appreciate everyone's time today. And for anybody in the Boston area, we opened our first restaurant in Shrewsbury tomorrow. So feel free to stop on. Bye.
Operator: Thank you, sir. Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone have a wonderful day.